Operator: Good day, everyone, and welcome to today's BrightView Earnings Call. [Operator Instructions] Please note, this call may be recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Mr. Chris Stoczko, Vice President of Finance and Investor Relations. Please go ahead, sir.
Chris Stoczko: Good morning, and thank you for joining BrightView's Fourth Quarter and Full Year Fiscal 2025 Earnings Call. Dale Asplund, BrightView's President and Chief Executive Officer; and Brett Urban, Chief Financial Officer, are on the call. I will now refer you to Slide 2 of the presentation, which can also be found on our website and contains our safe harbor disclaimer. Our presentation includes forward-looking statements subject to risks and uncertainties. In addition, during the call, we will refer to certain non-GAAP financial measures. Please see our press release and 8-K issued yesterday for a reconciliation of these measures. With that, I will now turn the call over to Dale.
Dale Asplund: Thank you, Chris, and good morning, everyone, 2025 was another transformational year here at BrightView. We continue prioritizing our frontline employees by investing in consistent service levels and refreshing our fleet, enabling a best-in-class service experience to our customers each and every day. We have also made progress in expanding our sales force, hiring about 100 new sellers in the year, which positions us to drive top line profitable growth in the near term. We offset the investments by continuing to leverage our size and scale and drive meaningful efficiencies within our business. These initiatives as well as the hard work and dedication of our nearly 19,000 team members resulted in the highest ever adjusted EBITDA and margin. Our unwavering focus on delivering world-class service to our customers continues to yield meaningful momentum in customer retention, improving about 200 basis points from the prior year and about 400 basis points since the beginning of my tenure in October of 2023. I want to thank our team members for their continued efforts to put the customer at the center of everything we do and position ourselves as the service provider of choice. Additionally, as part of our disciplined approach to capital allocation and commitment to driving shareholder value, we have increased our share repurchase authorization from $100 million to $150 million, and we are evaluating the pace at which we will execute. We believe our current valuation is dislocated from the tremendous progress we have made over the past 2 years and the significant opportunities that lie ahead. Our strong balance sheet and growth outlook gives me the confidence to expand the program and return capital to shareholders in a strategic and opportunistic way. As we turn the corner into fiscal 2026, I want to reemphasize my primary focus of delivering sustainable and profitable top line growth in the near and long term. I believe the investments we made and will continue to make such as consistent service levels and expanding our sales force have strengthened the foundation of our business and will position us to inflect top line growth in 2026 as reflected in our guidance, which Brett will touch on in a bit. Our formula remains the same: prioritize our front line, which, in turn, reduces turnover and leads to improved customer retention, all key fundamentals to top line growth and larger, more profitable branches. This, coupled with ramping up our sales force and unlocking our size and scale while strategically allocating capital will position BrightView as a clear investment of choice. Moving to Slide 5. We continue to see sequential improvements in our frontline turnover. Two years ago, this metric was nearly 100% with the bottom quartile of our workforce turning over 4 to 5x per year. This created inconsistent levels of service and required additional costs to hire and onboard new employees. Through continued investments in our employees, we've been able to drive meaningful improvement. The progress we've made continues to deliver cost savings, and we've reinvested into our frontline and will -- as well as more consistent service levels to our customers. This has been the key to solidifying our foundation and will continue to be a priority moving forward as we position BrightView as the employer of choice. Turning to Slide 6. I'd like to highlight the sequential improvement we've made in customer retention over the past 2 years, which is now approximately 83%, a 400 basis point improvement since the start of our transformation 2 years ago. This is a reflection of the exceptional service our employees deliver every day. Although we have seen great improvement, there is even more opportunity across our branch network as best-in-class branches sit at 90-plus percent customer retention. As I said from day 1, becoming the service provider of choice begins with prioritizing our employees and providing best-in-class service. This formula will continue to drive retention improvements across our business and contribute to our growth in 2026 and beyond. Now let's move to Slide 7. As I just outlined, we made significant progress in solidifying the foundation of our business and are making investments to expand our sales force. At our Investor Day in February, we committed to adding approximately 50% to our sales force, equating to about 500 net new hires through 2030. In 2025, we added roughly 100 sellers to the business, and we have been able to fund the investments through continued G&A savings and efficiencies. It's important to note that the hiring of these sellers was more heavily weighted to the back half of the year. In 2026, we will continue to leverage savings in G&A to fund the investment into our sales organization. In the bottom right, you can see that our current 10 year is relatively new, merely a function of ramping our sales force. Training of our new sellers takes time, and we typically see improved productivity after their first year. However, we continue to invest in technology and training to help onboard and speed up the effectiveness of both our new and tenured sellers. As we move forward, expanding our sales force, along with other key growth levers, which I will touch on in the next slide will be key to driving sustainable top line profitable growth. Moving on to Slide 8. In my first 2 years, we've made significant strides in unifying our business, enhancing operational efficiencies, investing for the future and continuing to prioritize our employees and customers, effectively solidifying the foundation of our business. Our development and maintenance teams are working together as a unified one BrightView, focused on cross-selling into future reoccurring maintenance work. Additionally, with our record capital spend last year, was an investment in over 30 new tree trucks, which more landing at branches in 2026. Investments like these will help bolster and expand our service offerings to our customers. Also by leveraging our national presence, we can effectively service large national accounts as a single point of contact provider. These multifaceted levers, along with the investments we are making in our sales force have positioned us to deliver top line profitable growth in 2026 and beyond and deliver value for all our stakeholders. With that, I will now turn the call over to Brett.
Brett Urban: Thank you, Dale, and good morning, everyone. I'll start by reiterating Dale's enthusiasm for the progress we've made over the past 2 years as we actively transform this business. Our teams across the country continue to raise the bar, delivering exceptional service, driving operational excellence and strengthening the culture that makes BrightView poised for success. Moving to Slide 10. We delivered another year of record adjusted EBITDA and margin, which was made possible by our streamlined operating structure and unlocking scale advantages as the #1 provider in our industry. Fiscal '25 EBITDA was $352 million at a margin of 13.2%, representing a 260 basis point improvement from fiscal '23. We have made great progress in just 24 months, taking a business with shrinking margins and stagnated EBITDA to a business that has grown EBITDA over $50 million and delivered record margins all while investing at record levels back into the long-term success of the business. Let's now move to Slide 11 to take a look at how we were able to improve profitability in fiscal '25. Adjusted EBITDA was a record $352 million, an increase of $28 million or 8% higher than fiscal '24. Adjusted EBITDA margin of 13.2% was also a record and expanded 150 basis points year-over-year, marking another consecutive year of margin expansion. Operating efficiencies more than offset the revenue flow-through, and we saw the benefits from the record level of investments we made refreshing our fleet, centralizing procurement and continued efficiencies in G&A. As Dale mentioned, we are actively making investments back into expanding our sales organization, which will be one of the keys to sustainable top line growth. Turning now to Slide 12. We've taken substantial overhead costs out of our business, improving SG&A expense as a percentage of revenue by 180 basis points since 2023. Our streamlined operating structure has produced meaningful cost benefits that we are using to reinvest into our employees, client satisfaction and more recently, our sales organization. Going forward, we expect to unlock additional efficiencies by leveraging our size and scale which are built into our long-term plan we presented last fiscal year during Investor Day. Moving to Slide 13. We're encouraged by the progress we've made in our trajectory of land maintenance revenue over the past 2 years by aligning our sales and operating structure, we made sequential improvements in year-over-year revenue through Q2 2025. In Q3, we experienced some macro-related headwinds, but the sequential improvement we saw in Q4 gives us confidence that land revenue growth is on the near-term horizon. As Dale mentioned, we added 100 new sellers in fiscal '25. And going forward, we will continue to invest G&A savings back into our sales team that will ultimately be a driver of profitable top line growth. In fiscal '26, we expect these investments, coupled with our development conversion strategy and enhanced ancillary offerings to deliver land revenue growth. I'll touch further on our fiscal '26 guidance in a few minutes, but I'd first like to turn to Slide 14 to talk about our fleet management strategy, which has generated multifaceted benefits since its introduction. To start, our fleet was severely aged in 2023, given the lack of investment made previously into our core business. This led to a range of issues, including higher repair and maintenance expenses, higher rental expenses, lower residuals, frustrated employees and unsatisfied customers. But over the past 2 years, we've invested over $300 million of capital to refresh our trucks, mowers and other equipment, bringing down the average life of these assets considerably. The age of our core production vehicles has been reduced to just 5 years on average and our core mowers to 1 year. Another focus area for 2026 will be refreshing our fleet of trailers, which are about 11 years old on average. The investments we made have driven significant improvements in repairs, maintenance and equipment rental, all driving incremental margin. Additionally, we found that the refresh fleet has improved employee morale and employee retention as frontline workers are able to service our customers with the confidence of having reliable equipment. In turn, our customers have been more satisfied as evidenced through our improvement in customer retention. In total, our fleet refresh strategy has delivered both financial and operational benefits that we will continue to realize as we invest further in the years ahead. Moving to Slide 15. We remain disciplined in our strategic capital allocation focused on driving long-term shareholder value. Our strong balance sheet continues to support this approach, highlighted by ample liquidity and a favorable debt profile with no long-term maturities until 2029. Net leverage remained at 2.3x. We accelerated our fleet strategy in fiscal '25, and we'll continue to execute this strategy in fiscal '26 as I previously discussed. And as Dale mentioned, we have increased our share repurchase authorization from $100 million to $150 million. We believe there is a significant disconnect in our current valuation versus our earnings potential. The profits and margins we've generated since 2023 have been exceptional. We remain confident in our long-term growth strategy and coupled with our shares trading at an attractive multiple, believe that repurchases represent an accretive and efficient use of capital. The proactive management of our strong balance sheet reinforces our ability to reinvest in the business, support profitable growth and create meaningful long-term value for shareholders. Now let's turn to Slide 16, where we outline our guidance for fiscal '26, which is underpinned by a return to revenue growth in land maintenance and translates to yet another record adjusted EBITDA and continued margin expansion. We expect to deliver revenue in a range of $2.67 billion to $2.73 billion, adjusted EBITDA in the range of $363 million to $377 million and adjusted free cash flow in the range of $100 million to $115 million. The revenue guidance assumes the following: for maintenance land, we expect revenue to increase by 1% to 2% as we begin to realize the benefits of our growing sales force, the continued improvement in customer retention, expanding our ancillary offerings and higher development to maintenance conversions. For development, we expect revenue growth to be in the range of flat to positive 2%, reflecting a combination of a healthy backlog as well as the benefits from cold starts, partially offset by project delays early in the fiscal year. For snow, we are anticipating revenue to be in the range of $190 million to $220 million, reflecting a midpoint at our 5-year average and the shift to more fixed fee contracts. Moving to adjusted EBITDA. We expect margins in the Maintenance segment to expand by 50 to 70 basis points and margins in the Development segment to expand by 20 to 40 basis points. In total, we expect adjusted EBITDA margins to increase by 40 to 60 basis points, reflecting continued momentum in the multiple initiatives we've undertaken to drive profitable growth. Important to note the midpoint of our margin guidance would imply a 310 basis point improvement over the last 3 years, reinforcing our commitment from Investor Day to expanding margins on average 100 basis points per year. Before turning the call back over to Dale, I would like to remind you of the incredible progress we've made in just 24 months and the tremendous opportunity we have ahead as we continue to transform this business for long-term success. Also, I would like to express my gratitude to all of our committed team members. Without their unwavering focus and dedication, none of this would be possible. With that, I'll turn the call back to Dale.
Dale Asplund: Thanks, Brett. Before we open the call for questions, I'd like to reemphasize what I've said from day 1, transforming this business would not be possible without the commitment and dedication of our employees. By investing in our people and becoming the employer of choice, we will continue providing world-class service and become a better partner to our customers. This, coupled with the ramp of our sales force, unlocking our size and scale, strategically allocating capital and returning our business to top line growth will make BrightView the investment of choice. With that, operator, you may now open the call for questions.
Operator: Certainly. [Operator Instructions] We go first this morning to Tim Mulrooney of William Blair.
Benjamin Luke McFadden: This is Luke McFadden on for Tim. So coming out of the third quarter, I think you felt like the worst was largely behind you in terms of tariff-related disruptions in your land maintenance business. I'm curious how performance in some of those more discretionary areas of land maintenance trended as you moved through the fourth quarter and how you're feeling about the setup for land maintenance sitting here today several weeks into the first quarter?
Dale Asplund: Yes, great question, Luke. I'll start off and Brett can add. First of all, we sit here today in our branch in San Francisco, a little early, and I've got a little cold, so pardon my voice. But I would tell you that the progress we saw as we went through the quarter showed optimism that discretionary spend of ancillary, we could definitely see return. And probably more positive for me as I stood at the gate yesterday during gate check and watched all the new fleet that Brett just talked about roll out and the cultural change it has on our frontline workers. When we talk to them about the work they're going out to do, the feeling of our customers once again looking to return to those ancillary projects that were delayed when Liberation Day happened was very positive. So look, it's going to be a daily grind. We had last year some 2 named storms that hit us, one at the end of September, one in October. The one at the end of September, as many people remember, was right from the Panhandle of Florida all the way up through the Carolinas. So we're going to have to step over that, but we feel like the progress we saw right through Q4 is an indication of why we said we're going to grow this business as we go through 2026. Now just to remind everybody, these are our seasonal months, the next 6 months or 2 quarters, we could have some noise from the seasonality of the business. But like I used in my opening, I'd like to remind everybody, everything we've done has created a foundation that positions us to grow this business and where we feel when we get to our stronger months for the land revenue business in Q3 and Q4, we will be positioned right where we thought we would be to grow this business in the back half of the year. But we felt good, Luke. We're seeing some positive momentum as we went through the quarter. And most of that, as everybody heard in our Q3 call, was discretionary related. Brett, do you want to add anything?
Brett Urban: Yes. I think Dale hit the nail on the head. We're seeing sequential improvement. We saw that in Q4. We do have to step over a couple of named storms that happened last year in Q1. But Q1 and Q2 is not really our busy land season. We do about 1/3 of our land revenue in the first half of the year. And we're doing everything we can now to ramp up our sales force and make investments into the sales force of the company so that we're well positioned as -- especially as we get into our busy season in the back half of the year.
Benjamin Luke McFadden: That's really helpful color. And as my follow-up, I wanted to dig in a bit more on some of these investments you're making on the selling side. Maybe just how should we think about the productivity ramp on some of those new sales hires? I know you gave some context around the numbers in your prepared remarks, but maybe how that ramp fits in the context of your segment level organic growth outlook that you provided for 2026?
Dale Asplund: Yes. Let me try to break it into thirds at a high level. And obviously, there's exceptions for everything. But usually the first 6 months of new sellers, they're learning the business, they're trying to get their arms around, and they're very, very limited on productivity. They're out making relationships. You could think of getting work to bid on. The second 6 months, traditionally, they see a little more of a ramping. And once they get over a year, we see them get closer to what our seasoned sales reps would say -- would sell. And once they get over 18 months, we feel like they're in that normal stride of, call it, $1.5 million a year is what we target for our seasoned sellers. So they take time, Luke. It takes us a little bit. We added a lot this year, and we feel great. And I will say this, they are paying dividends as I see us starting to get new business as we even enter 2026, and we will continue to make investments through 2026 that will add cost to the P&L that we've forecasted in our EBITDA number. We think we'll add a similar number of resources as we work through '26. Brett, do you want to add...
Brett Urban: Yes, I would just add, Luke, the transformation of this business under Dale's leadership in such a short period of time has been nothing short of exceptional. And as you look at our trend over the last 2 years from a profitability standpoint and EBITDA and a quality of earnings standpoint and margin and you look at what we're able to produce to the balance sheet with cash to invest in the business, that's the beauty of where we are standing right now. That's why we're so excited. We have the ability to invest in the business. And you can see in our EBITDA bridge in '25, we invested about $7 million into the sales force, really starting in the April through June quarter. But we're going to continue to invest in the sales force is now the foundation of the business, as you see in some of the KPIs that we presented is solidified and significantly improved from just 24 short months ago. Our employee retention has improved significantly, and our customer retention has improved significantly. So now that, that foundation is set, that's why we're putting the gas pedal down right now so hard on adding to the sales force. And Dale talked to the timing of that and ramping those sellers up. It does take time, but we have the ability and the fortunate situation where we continue to grow earnings and have cash to invest back into the business.
Operator: We'll go next now to Bob Labick at CJS Securities.
Bob Labick: So I wanted to start with some other KPIs. Obviously, you've really done quite well. And you have the continuing progress on prioritizing your employees. There's a couple of blue, I guess, circles, a lot of green checks on that slide as well. Where can this go, I guess, is the question? How far are you along the road map of improving employee retention? And how much more progress is there to make? And how can this -- at what point does this continue to influence or stop influencing your customer retention rate? Where -- link those 2 together, but really with the employee retention goals and where can it go?
Dale Asplund: Yes. Look, we've made progress and the blue checks that we're still working on to make it -- make us a better employer for our frontline workers. We're going to keep looking at new opportunities, Bob. Those aren't the final steps. Our goal is to make sure by far, our #1 most important asset that touches our customers every day feels that they work for the best landscape company in the industry. We have improved that line. From the day I arrived, I said we have to do a better job of prioritizing those employees. We have improved that statistic over 3,000 basis points since the end of 2022, which is an absolute amazing statistic when you think about it. I think, Bob, there's another, call it, 2,000 to 3,000 basis points that we can get to get to a more normalized level for that type of high churn workforce. But those people are so critical in driving our overall customer retention that we just have to keep thinking of new ways to make sure that they understand their importance. And that starts with yesterday, me standing at the gate, handing out doughnuts and coffee and thanking them for what they do. And it makes me feel good when they thank me for the new vehicle they have. So I fully believe, Bob, they are the key to keep driving that customer retention. And I feel like we're only halfway-ish on our journey of what we can accomplish with frontline turnover.
Bob Labick: Okay. That's great. And then you talked, I think, about the $300 million of investment in fleet earlier on the call. Can you talk about how the new tax bill influences the rate of investment that you're going after? And how many more years of -- will it take to get to kind of a normalized range for your capital investment? Because obviously, you're getting rid of fully depreciated assets. At some point, you'll get something back for those assets as you get further down through your road map.
Brett Urban: Absolutely, Bob. This is Brett. I'll take that one. So yes, we were, again, excited that we have the opportunity to invest in our fleet, invest in our people, as Dale just mentioned. So yes, you did see us in 2025, we benefited from the One Big Beautiful Bill where we did not pay any federal taxes. And we took that money for cash savings and accelerated our fleet refresh, as you can see in the capital we spent in 2025. So we're excited we're able to do that. We have our mowers in a spot now where it's exactly where we want to be for the long term, an average of 1-year old mowers, which is fantastic. We have our trucks right around 5 years old, our core production trucks. We probably have 1 more year to go to continue to refresh our trucks to bring that age down just a little bit further. And then in 2026 and even into 2027, we're going to really invest in refreshing our trailers, which we have about 4,500 trailers across the fleet. So we started a little bit of that at the end of '25, but you can see in our CapEx guide still heavier than normal, I guess, in 2026. And then when we get into 2027 and really in 2028, we'll start to get back into that 3.5% range of revenue for capital. But the beauty of it is with our debt structure the way it is and our ample liquidity, we're able to invest back in the fleet. And Dale said it, in about 1 minute, we're going to start seeing trucks roll out of the yard we're sitting in here in San Francisco and spending time with the crews and spending time with the managers here on site. I mean the team on the ground could not be happier with some of the investments we're making into their offices, into their trucks that they drive in every day, into the fleet of mowers, the reliability they have to service their customers. So that's really where we're seeing this pay off.
Operator: We'll go next now to Andy Wittmann with Baird.
Andrew J. Wittmann: I guess I wanted to build on the last question on capital. I mean -- so I just heard '26 is going to be obviously [ 6.4% ] of revenue. It sounds like next year is going to be above the 3.5%. What's the delta? You guys talked not that long ago about maybe '26 being a normalized year. Where was the CapEx bill higher than you expected? Was that just inflation and tariffs? Or is it just kind of a new look at the fleet from kind of where you were at Analyst Day?
Brett Urban: Yes. Andy, it's a great question. Look, I think I'll start by saying we are fortunate to have our balance sheet in a position now to continue to invest in the business and refresh our fleet. And as you look at employee retention and that metric continuing to get better, you look at customer retention, that metric continuing to get better. That's directly related to some of the fleet investments we're making so that we can service our customers with the reliability that they deserve. And then secondly, as you think about the investment moving forward, yes, we're going to spend a little bit more this year because we want to get through kind of the refresh of our fleet. Previous to 2024, we spent a lot of cash in the company, but very little of that cash was on our core business, right? You guys know the story around M&A, et cetera. So we're now investing cash back into our core business. So we're going to continue to do that. Now you think about the P&L side of the equation, our repair, maintenance and rental expense, which was listed in our deck here is about $59 million a few years ago. We saw about a 15% reduction over the last 24 months, down about $51 million. We expect to see a reduction here in '26 and '27. And that number we said during Investor Day, we could probably get half into the P&L as savings, and we expect to see more of that come through '26 and '27 as we move forward.
Dale Asplund: Yes. Andy, let me add a little color to that. I think the word that I would use is today, we have flexibility that we didn't have 24 months ago. We have the ability, if we see some reason to slow down capital, our fleet is at a level today that we could operate and customers would still see us as a great provider. We're going to continue to move that to the level that we want it to be, where we think that repair and maintenance will be at our opportunistic level. But right now, we do have flexibility. 2 years ago, we didn't have that, Andy. When I arrived, we needed fleet refreshments. We needed to invest money. We were already keeping fleet way too long. Today, I feel like we have flexibility, and that's the key.
Andrew J. Wittmann: Okay. And then just, I guess, operationally, kind of a 2-part question probably for you, Dale. So there was a comment in the prepared remarks about new technology and training for sellers. I was just hoping maybe you could expand on that, how the tools that they're going to have in '26 are different from what's happened in the past. And then, Brett, you also mentioned in your comments, there's kind of the next round of efficiencies that are going to be able to fund some of those investments. And -- but maybe if you could help us get a tangible sense of that, maybe some examples of things that you plan to do that you haven't yet done that are going to afford you that opportunity.
Dale Asplund: Yes. So I'll start with the training side. In the back half of '25, we brought in a new leader at our corporate level to drive training across our organizations and her primary first focus is on our sales organization. We have a lot of content, Andy, that we've digitized that we're now putting out there that our employees can access via their phone. They can access it via a computer or they can get printed materials if they want. We have to continue to invest in those materials, especially as we grow that sales force. And then as you heard in my prepared remarks, we continue to invest in ancillary services. As an example, the tree trucks we added, we have to make sure that every one of our branches have the ability to give tree service access to our customers. And that takes making sure our sales reps understand what that service provider is and make sure that we have professionals that can work with our customers to get them the proper quotes and then we can do the work safely and efficiently. So it's a lot of information gathering. And when you have a dispersed sales force, we have to have an easy way to make sure they can get to the content. Because what we found, Andy, when we look at it, our quickest sales rep to get up to speed to be able to produce are the ones that access that materials not just the day they join, but when they access it multiple times, and they use it as a reference. So making it visible, making it at the touch of a button is critical.
Brett Urban: Yes, I would just add from an EBITDA standpoint, Andy, we are going to unlock more efficiencies in the business. We've seen significant efficiencies in our fleet strategy paying dividends. We've seen efficiencies and scale advantages by centralizing our procurement function. As you can see on Page 11 of our deck that we presented and the beauty of it is we are continuing to create that size and scale advantage as the #1 player in the industry, so we can reinvest back in the business. And we're reinvesting in our employees. As you see that, we're reinvesting in our fleet, as you talked about a minute ago. We're also reinvesting in technology. We're launching and digitizing how we -- as one example, in our field service management system, how we digitize and route our crews and we expect to add efficiency in the system by digitizing that, having it on your phone, being able to route and make adjustments throughout the day to add more service to customers as we go forward. So there's technology investments as well that's going to add to that efficiency.
Operator: We'll go next now to Jeffrey Stevenson at Loop Capital.
Jeffrey Stevenson: So Brett, following up on your point about the field service management system. Can you talk about the time line of the broad rollout across your branches for that? And whether you have any benefits from this baked into your second half guidance this year?
Dale Asplund: Yes. Great question, Jeff. I'll start with that one because it's a project I'm very close to. And for those of you who visited our branches, we underinvested in the past in the use of technology. And with labor being 40% of our cost, there was no greater area than the management of our frontline crews. We did it far too manually with whiteboards. We have implemented a tool that integrates into our CRM system, so we know what jobs to service every day. We have rolled that system out in every one of my geographical regions for a couple of branches in a couple of different markets to make sure that it was efficient and added value to the branches. We tweaked it. We've gone back and started rolling it out to the masses across the whole company. We will be complete with that sometime after the new year, call it, in the first quarter of the new year or our second fiscal quarter, which is the time we want to do it in a lot of our markets where we have a little bit less land revenue, and that's the major focus is on our maintenance business. But yes, Jeff, we are very excited about what it can do for us, what we have built into our forecast and what we tell people as we roll that tool out, that is not a savings tool. That is a capacity creation tool for us. We want our employees to be more efficient doing the work that they do every day. And when we're growing this business in the back half of the year, we want to make sure we get the flow through on that incremental revenue as we work into 2027. That's the goal of field service. It's not a savings tool. It's a capacity creation tool, so we can do more work with our existing team as we grow this business.
Brett Urban: I would just add, Jeff, that's why we sound so excited on this side of the conversation because we've created the ability in just a short 24 months to make sure we can continue to invest in the business. The amount of EBITDA that we've generated over $50 million since Dale has started in his chair as CEO, that we're able to use to reinvest into the business, the cash that we have on the balance sheet, we're able to use to reinvest in the business. And you hear some of it from ramping up our sales force, but technology is absolutely a big piece, and we're going to continue to invest in the business. And that's why I think we're so excited on this side of the table because we have the ability to invest and continue to invest in the business.
Jeffrey Stevenson: Got it. No, that's very helpful. And then I was wondering if you could provide an update on the large project delays in your development business and how current segment backlogs have trended over the last 90 days? And then following up on that, how should we think about the time line of your development cold start initiative and whether you expect any benefits from this program in fiscal '26?
Dale Asplund: Yes. Great question, Jeff. I mean the development business is a business that we see cyclicality in it. And the markets that did great in the back half of '25 were kind of the soft markets in the back half of '24. And the markets that did real well in 2024 were a little softer in '25. In fact, if you really look at that business, even though Q4 looked a little soft, we did the same in Q4 2025 as we did in Q4 2023. So a little bit of -- it's a comp issue of how well we were able to complete jobs last year in Q4. I think on the cold start side, if you think about where we're at, we mentioned we're going to do 10 cold starts. We have 5 of them that we're starting to try to get open the door now at existing real estate and starting to make productivity as we work through '26 in that area. We expect another 5 to be somewhere in the process within the end of 2026, hopefully, with leaders, with sales reps in those markets. The key of opening those development cold starts, it allows us to service a broader base of jobs without trying to service big jobs in all markets from one branch. So Denver is a great market for us that we have a very large branch, but they're doing jobs all over the state of Colorado. We need another branch that can do work so that the Denver group can focus on just the Denver market. So we made great progress, Jeff. We think that's why we feel confident. We're going to return that business to growth this year. And long term, by having more branches and more markets, our branches will go after more work within each market, not just the big jobs going chasing across the whole geographic area they can cover. So I hope that answers it.
Brett Urban: Yes. And I would definitely say if you look at kind of the trajectory of the development business, they've grown significantly, Jeff, over the last few years, credit to the development teams and the branches we operate in. And that business has grown $60 million in '23. They grew $50 million in 2024, took a small step backwards here really towards the tail end due to some of that macro. But we're definitely coming down the other end of the bell curve. And if you look at kind of where Q4 came in at an 8% reduction in revenue quarter-over-quarter, Dale mentioned last Q4 was really impressive growth. But we're definitely coming down the other end of the bell curve. We expect it to be a little bit choppy here in the first half of the year, but that's just as those delays work its way through the system, and we're starting to see that free up here a little bit. And definitely, this business will be back to growing and growing at a nice pace here in the second half of the year.
Dale Asplund: One other part of your question, Jeff, you asked about project delays. Let me just add this week for Pittsburgh Airport, which has been a very big project for us, actually switched to the new terminal. We're not done with our work there, but we're proud of the work that we did do. But where you see those things accelerate where we did have the delays, Jeff, we have other projects that haven't even started yet that we were counting on in Q3 and Q4. So there's always going to be give and take. There's a lot of noise out there, but there's plenty of work for our guys to go get. So we're motivating our development team. Let's get some new branches open. Let's all get more salespeople out there. Let's go get more work, because there's plenty of work for that team and the quality they do is second to none. So we're in great shape as we enter this year. We guided to 0% to 2% increase as we work through 2026 again. But great questions.
Operator: We'll go next now to Greg Palm of Craig-Hallum.
Greg Palm: Maybe just dovetailing on the last question. I don't know if we can spend a minute on labor and any impacts from sort of the changing immigration policy. But have you seen any direct or maybe indirect impacts there? And I guess if the industry is seeing some impact, at some point, are you able to use this to your advantage to maybe accelerate share gains if some of your competitors are having issues?
Dale Asplund: Yes. Great question, Greg. Let me try to take that. So I believe that investing in our frontline people drives long-term customer retention and the quality of service that we deliver. But if I went back 2 years ago and I thought the challenges in the end labor markets due to immigration, we're going to be as hard as they are today. I would have made those same investments because today, the employees we have feel like BrightView cares more about them than ever. So I would tell you, as I talk to my operations team, what in the past was reactionary behavior every time somebody came to try to take one of our employees, our employees have seen the benefits, and we cover that on the trend that we showed of the improvement in turnover. Things that we put in this past year like PTO have been a huge benefit for our employees that when we get rain days or when there's a sick day they need to take. So I would tell you, Greg, we are so well positioned with where we're at. And yes, I do believe some of what we're seeing with our new sales that we're starting to see every month is because other providers are struggling to provide the level of service because of limited availability. As everybody knows, we e-verify our employees. We are very proud of that to make sure we can provide a good company to work for, for proper documented employees in the United States, and we don't have a fear about all the noise that's going around in some of these markets with some of the immigration challenges, but we feel great. And we think it's going to be a tailwind, not just where we felt so far, but as we work through '26, Greg.
Greg Palm: Okay. I appreciate that color. And Dale, as you think about '26 and this sort of focus on growth. What do you -- what are the biggest near-term levers versus some of the stuff that I don't know, might trickle in a little bit and be more impactful in future years?
Dale Asplund: Yes. Look, it's -- we talked about at our Investor Day talking about how we're going to get growth between now and 2030. It's the same levers, Greg. I am so proud of how far we've come on customer retention. We were up 400 basis points, granted from 79% to 83%. We are not done with that. Maybe the 200 basis points we've seen over the last couple of years, maybe it slows down a little, but there's somewhere between 100 and 200 basis points each year over the next several years. We have moved, this is the key, the underperforming branches. When we were at our Investor Day last February, 20% of our branches had customer retention below 70%. As of the end of the year, only 10% of our branches were below 70%. That's still roughly 20 branches that is below 70% that we have to improve. What we said and what we know, when branches are in the mid-80s, they are growing. We also have a litany of ancillary services. I talked about adding 30 tree trucks. We have a lot more tree trucks on order because what I want to do is be a full service provider to our customers. There's other ancillary work that we're working with our branches to go get. Today, a lot of the flowers and mulch and install work we do is with our existing customer base, we can do it for anybody, and our branches are starting to get more creative to go out and bid on work outside of their existing contract work to get more ancillary. So look, we have a lot of levers to pull here. That's why we're confident to say we're going to grow in 2026. Yes, we're always going to have a little noise. It's time for us to really put the foot down and get the accelerator going because this is our time for growth. So I hope that gives you an idea. I think adding sales resources, keep that customer retention, drive ancillary and let's go. I'm sick of talking about things in the past that create noise like a storm. We should be able to step over that stuff without any problem as we grow this business to mid-single digits annually.
Operator: [Operator Instructions] We'll go next now to Stephanie Moore with Jefferies.
Harold Antor: This is Harold Antor on for Stephanie Moore. I guess just one question for me. Capital allocation, you talked about your fleet investments. Just wanted to get any sense for your views on M&A. How that -- how have those conversations gone through the quarter? What are multiples looking at? Anything there would be helpful.
Dale Asplund: Yes. Look, let's -- we'll take the topic of M&A. In a way, I think what I kicked off with and what Brett talked about, increasing our share repo to me, kind of sends a signal. If we're going to buy a quality company, those companies are trading at 8 to 10x very easily, Harold. Our company is drastically undervalued, trading around 7x. And with our new EBITDA guide, we're actually below 7x. So I'm going to take advantage. In fact, the word that I would use, our Board didn't approve the share -- increase in our share repo program. My Board encouraged it. They were supportive to say, we have come so far, not just in the financials that Brett covered, but in the culture. The fleet that we have today, 24 months later is a drastic change in our business. Our business is completely different than what it was 2 years ago. And today to be able to buy it at depressed levels, we're going to take all that cash right now until our stock trades at a more normalized level, and we're going to buy back our own stock. Is there a pipeline in M&A? Absolutely. Will we maybe look at something on the ancillary side such as tree businesses, aquatic businesses? If I find the right one, yes, but we're not going to chase deals. Our Board is supportive of what we're doing here in the short term with the dislocation in the stock price, and we're going to take advantage and accelerate that program. So opportunities are there, but to get the companies that deserve to be part of BrightView, the multiples are well above what we are willing to buy right now considering our stock price.
Operator: We'll go next now to Toni Kaplan of Morgan Stanley.
Yehuda Silverman: This is Yehuda Silverman on for Toni Kaplan. Just had a quick question on the snow side. So you mentioned that you're working towards getting to a customer contract base that's more fixed than variable. Heading into the upcoming snow season and looking into 2026, can you talk about the improvement in that area so far? And how this shift is expected to impact the business compared to a more variable heavy tactic?
Dale Asplund: Yes. Look, I mean there's always markets, Yehuda, that is going to be very hard to switch to fix, take the Carolinas or Atlanta, where we saw some weather last year. So those will always be variable. But I would tell you, we focused on 2 things with our snow business. First, trying to get the majority of the customers that do land with us that need snow services to use us and limit us just providing snow removal services. We want to make sure we offer a full year service to our customer. And then go away from that riskier time and material, we've definitely seen an increase, which gave us the confidence to guide to that $180 million to $210 million or $205 million midpoint of -- or $220 million, I'm sorry, the $205 million midpoint that we guided to. We feel like we're in a great spot, and we continue to push. Here's what I would tell you. This is why I can't really give you the exact number. In many markets, it hasn't snowed yet. And some people don't like to refresh those snow deals until the flakes start to fly. So we've got a lot of paper out there that people will finally commit to. Once they know the storms are coming. We saw a little weather across the Midwest, but we have opportunities yet across Colorado and the Northeast where we've yet to see weather. But our strategy is working. We feel like we're making it a much more predictable business. And we feel like as we go through '26, once again, there's going to be no excuses because of snow. We told you guys what we believe is there. We think we can deliver on that. And if we can't deliver on it, it's not going to be a reason that we lower EBITDA. So we're committed to delivering this business and the forecast we put out there. And if snow is a little softer, we still think we can deliver the bottom line.
Operator: We'll go next now to George Tong of Goldman Sachs.
Keen Fai Tong: In your landscape maintenance business, can you provide some additional color on how your [ contract ] has performed relative to ancillary, especially the per occurrence side of contracted revenues?
Dale Asplund: Yes. Great question, George. I think we feel great about where we're at with our book of business. When I look every day at where we're at for the month of adding and losing because I track it every day, and I send it to my direct reports, and they'll tell you, I can run the reports now. So it's great data for me to look at, and I track that contract because it should be very, very, very predictable. I would tell you, I think some of the areas where we saw some of that discretionary per occurrence were areas we saw some of that snow like the Carolinas, like Georgia, we feel like a lot of that noise is behind us. We feel good about what we're feeling with contract revenue and expect that to continue to be a tailwind for us as we go through 2026. Ancillary, like I started the conversation off with, we've come a long way. And it's not just what we're seeing in the numbers. It's really what the people in the branches are saying. I'm out here in San Francisco, and I had one of the local branch managers come to me yesterday that gave me great news that he has signed 2 deals, and I said that's great, keep going. Let's keep the team motivated and keep going, get it and let me know what I can get you from fleet or personnel to make sure you can keep getting that work. So I would tell you, we've come a long way. Yes, there's still some noise, but 2026 is our year to growth. Contract revenue will be up. Ancillary, we firmly believe will be up, and the investments we made in additional ancillary type assets like the tree will help us even drive that work. So we're positioned well, George. Great question. I would tell you, contract, where we felt some of that discretionary per occurrence, that's behind us now. We feel great as we enter 2026.
Operator: And gentlemen, we have no further questions this morning. Mr. Asplund, I'd like to turn things back to you, sir, for any closing comments.
Dale Asplund: Thank you, operator. Guys, as I complete my second year with BrightView, I want to take a moment to thank all of our employees on the incredible progress we've made together. Over the past 2 years, we've strengthened our culture, sharpened our execution and advanced our transformation. Together, we built a more efficient, stronger and significantly better foundational business to service our customers. My focus now is squarely on delivering consistent, profitable top line growth both in '26 and for years to come. So once again, operator, I want to thank everybody for joining us today. Thank you for your interest in BrightView. We look forward to giving you our progress as we work through 2026, which is a year we are very, very excited about. And the team, as we just left our annual meeting feels like there's so much upside based on the foundation we've built. So thank you, operator, and we'll talk to everybody in February.
Operator: Thank you, Mr. Asplund, and thank you, Mr. Urban. Again, ladies and gentlemen, that will conclude today's BrightView earnings conference call. Again, thanks so much for joining us, everyone, and we wish you all a great day. Goodbye.